Operator: Good day, ladies and gentlemen and thank you for standing by. And welcome to the INTL FCStone Third Quarter Fiscal Year 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we’ll conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to turn the floor over to Bill Dunaway. Sir, floor is yours.
William Dunaway: Good morning. My name is Bill Dunaway, CFO of INTL FCStone. Welcome to our earnings conference call for our fiscal third quarter ending June 30, 2015. After the market closed yesterday, we issued a press release reporting our results for the fiscal third quarter. This release is available on our website at www.intlfcstone.com as well as a slide presentation, which we will refer to on this call in our discussions of our quarterly and year-to-date results. You'll need to sign on to the live webcast in order to view the presentation. Both the presentation and an archive of the webcast, will also be available on our website after the call's conclusion. Before getting underway, we're required to advise you, and all participants should note, that the following discussion should be taken in conjunction with most recent financial statements and notes thereto as well as the Form 10-Q filed with the SEC. This discussion may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. These forward-looking statements involve known and unknown risks and uncertainties, which are detailed in our filings with the SEC. Although the company believes that its forward-looking statements are based upon reasonable assumptions regarding its business and future market conditions, there can be no assurances that the company's actual results will not differ materially from any results expressed or implied by the company's forward-looking statements. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Readers are cautioned that any forward-looking statements are not guarantees of future performance. With that, I'll now turn the call over to Scott Branch, the company's President.
Scott Branch: Thanks, Bill. Good morning, everyone, and welcome to our fiscal 2015 third quarter earnings call. Sean O'Connor, our CEO is traveling at the moment. So I will be filling into give a brief overview. Overall, fiscal Q3 was a solid quarter for us. We are now operating very close to our long-term ROE target of 15% despite the low interest rates and generally low volatility environment. As we have mentioned on previous calls we have for some time been steadily and modestly improving the overall market conditions and continued industry consolidation. A more normal interest rate environment could potentially add incrementally 5% to 7% of ROE to our results. Net income was $12.2 million for the quarter a shade over below Q2 and up nearly fourfold from a year ago and up nearly threefold for year-to-date. Our EBITDA for the quarter was just shy of $24 million and for the trailing 12 months is running at $78.5 million. Our diluted EPS for the quarter was $0.62, up threefold from a year ago, year-to-date EPS for the nine months was $1.78, up 2.5 times. Operating revenues were 28%, up versus a year ago and just slightly below the record we achieved in Q2. On a year-to-date basis revenues were up 24%. We continue to see very strong increases in transactional volumes versus the same quarter a year ago with our global payments area up nearly 70%. The year-to-date transactional activity probably provides a better picture and reflects strong results in all of our business units. The lowest increase being futures at 6% and global payments precious metals activities both up nearly 80%. In some of these business units the activity growth is offset by lower revenue capture, but still a good overall result which is driven our top line revenue. These are strong results and indicative of us winning a greater share of our existing clients activity plus bringing on new customers and making market share gains. Some highlights for the quarter, Bill will run through them in greater detail later. Compensation which is our greatest cost accounting for nearly 50% of our overall cost base. Our compensation cost increased directly in line with revenues as expected for both the quarter and year-to-date period. We have worked hard to make this cost as variable as possible and closely aligned with revenue production with both protects the bottom line and provides staff with a clear and direct incentive. The balance of our costs increased very slightly with professional fees down significantly. All of our segments showed strong double-digit growth in segment revenues except for clearing, which was up by 9%. Stand-outs for the Global Payments business with a 34% increase in revenue and Securities which was up 83%. In terms of segment net income all of our segments recorded very strong results for the quarter with Global Payments up 46% and Securities up more than doubled. Physical Commodities in clearing had significant percentage increases albeit of a lower base. We continue to see signs of industry consolidation and an improving competitive environment. The most tangible indicator in Q3 was Jeffrey's exit from the futures market. In this environment, we have selectively acquired both staff and customers most notably in London. We've now completed the consolidation of our U.S. based broker-dealers and government securities dealers with our U.S. based FCM. The bulk of our U.S. customers now face a unified entity offering a larger capital base making for simplified cross-selling and a potential for cross margining. Over the coming quarters, we should also see the benefits of capital efficiencies and we will begin focusing on rationalizing systems and infrastructure cost as a result of these mergers. We are hoping to get clarification from our regulators regarding finalized capital rules for our swap dealer and if appropriate we will look to consolidate that entity into our merged broker-dealer FCM. During the quarter, we continue to enhance our interest earnings from our segregated funds through laddered investments in short-term U.S. Treasuries and interest rate swaps which are added nicely to our net earnings. I’ll now hand you back to Bill Dunaway for a more detailed discussion of the financial results.
William Dunaway: Thank you, Scott. I'd like to start my discussion with a review of the quarterly results. I'll be referring to slides and the information we have made available as part of the webcast. Specifically, starting with Slide 3, which represents a bridge between operating revenues for the third quarter of last year to the current year fiscal third quarter. As noted on the slide, third quarter revenues were $151.6 million, which represents a 28% increase as compared to the $118.2 million in the prior year. Current quarter operating revenues include a $1.2 million before tax gain on the sale of common stock held in the intercontinental exchange. The most notable change for the quarter was $16.5 million or 83% increase in securities segment operating revenues. The largest increase within this segment was in debt trading, which added $11.7 million in operating revenue versus the prior year, primarily as a result of the acquisition of G.X. Clarke & Co. At the beginning of the quarter which added $10.2 million in incremental operating revenues. In addition within the Securities segment, equity market making revenues increased $2.8 million versus the prior year as transactional volumes increased 57%. The second largest gain in operating revenues was $7.3 million of 13% increase in operating revenues in our core commercial hedging segment. This increase was driven by a 17% revenue growth in exchange-traded markets primarily on the LME and in agricultural commodities. In addition, OTC revenues increased 11% versus the prior year as revenues increased in agricultural commodities in particular grains, coffee and cotton as well as in a relatively new offering of our interest products. Global Payments segment operating revenues increased $4.6 million to $18.2 million nearly matching the record revenues of the second quarter. An increase in payments from financial institutions drove transactional volumes to increase 67% however this resulted in a decline in the average payment size, which led to a decrease in the average revenue per trade. Finally, CES segment operating revenues increased $2.4 million primarily as a result of increased prime brokerage activity and higher interest income. While Physical Commodities segment, operating revenues increased modestly with gains in precious metals being mostly offset by lower revenues on the Physical Ag's & Energy side. Moving on to Slide 4, which represents a bridge from the third quarter pretax income in 2014 to the current period. The biggest contributors to the overall $13.2 million increase in pretax income was the Securities segment, which increased $7.9 million; and the Global Payments segment, which increased $3.2 million as a result of the significant increases in operating revenues in those segments. The segment income in the Commercial Hedging segment increased $2.1 million while increase in interest income drove the $1.9 million increase in CES segment income. Unallocated overhead increased by $2.7 million which was primarily driven by the acquisition of G.X. Clarke & Co., which added $2.1 million of unallocated expenses as well as a $2 million increase in variable compensation related to strong growth in overall company performance. These increases in unallocated overhead were partially offset by the $1.2 million before tax gain on the sale of our common stock held InterContinental Exchange. Overall interest income increased $8.5 million to $10.6 million in the third quarter. Historically, our interest income has been driven by the average customer segregated equity in our Commercial Hedging and CES segments, as well as short-term interest rates. Our acquisition of G.X. Clarke during the second quarter resulted in a significant change to our aggregate level of interest income, adding $6.5 million in interest income during the third quarter. Slide 5, shows the interest income in our Futures Commission Merchant or FCM, which holds our customer segregated balances and is the source of the majority of our interest-earning assets. The increase in interest income shown here plus the modest decline in our swap dealer resulted in a [$1.4] million increase in interest income in our Commercial Hedging and CES segments. This was the result of the continued implementation of our interest rate management program, which includes the purchase of medium-term U.S. Treasury notes and the utilization of interest rate swaps partially offset by an 18% decline in average customer segregated deposits to $1.5 billion for the quarter. Overall, our portfolio of treasury and money market fund investments averaged $1.2 billion for the third quarter, which combined with $300 million in interest rate swaps, earned $2 million in interest income for an average yield of 66 basis points. The overall portfolio including both the U.S. Treasuries and the swaps had a weighted average duration of approximately 21 months at the end of the period. Moving on to Slide 6, our quarterly financial dashboard. I'd just highlight a couple of items of note. Variable expenses represented 58.7% of our total expenses for the quarter and non-variable expenses, which are made up of both fixed expenses and bad debt expense, increased $3.5 million or 7% driven entirely by the G.X. Clarke acquisition. Net income from continuing operations for the third quarter was $12.2 million versus $3.7 million in the prior year period, which resulted in the 13% ROE, nearly reaching our long-term goal of 15%. Finally, in closing out the review of the quarterly results, the trailing 12 months results have led to a 12% increase in the book value per share closing out the quarter at $20.12 per share. Next, I'll move on to Slide 7 for a discussion of our year-to-date results. This slide demonstrates strong revenue growth across all of our business segments. The largest increase was in the Securities segment, which added $31.2 million in operating revenues as a result of both the G.X. Clarke acquisitions and a 48% increase in equity market-making volume. Our core Commercial Hedging segment revenues increased $31 million or 19% versus the prior year, driven by both exchange traded and OTC volume growth primarily in the agricultural and LME metals markets. Global Payment revenues continued to grow, adding $11.8 million in the year-to-date results, while CES and Physical Commodities segments revenues added $6.7 million and $3.1 million, respectively. Moving on to Slide 8, which represents a bridge from the prior year-to-date period to the current year. Similar to the growth in operating revenues, segment income in the Commercial Hedging and Securities segment saw the largest increases in segment income. In addition, Global Payments segment income increased $8 million or 39% as compared to the prior year-to-date period. These gains were partially offset by a $9.3 million increase in unallocated overhead which is primarily driven by the acquisition of G.X. Clarke & Co., which added $4.1 million of unallocated expenses. In addition excluding G.X. Clarke variable compensation increased $5.7 million related to strong growth in company performance. These increases in unallocated overhead were partially offset by the $1.2 million gain on the sale of the exchange shares. Finally, moving on to Slide 9, the year-to-date dashboard I will highlight just a couple of metrics. Net income from continuing operations increased to 156% over the prior year-to-date period to $34.6 million which represent 12.7% ROE for the current year-to-date results. In addition, we have exceeded our internal target for the year-to-date period and average per employee, which reached 504,000 per employee in the current year. With that, I'd like to turn it back to Scott to wrap up.
Scott Branch: Thanks, Bill. We believe that over the last six quarters or so we have seen a gradually improving trend in our results and we are now operating near to our targets and the potential we believe is inherent in our business. We believe that our multi-capability, multi-asset class business, which has been built over many years, is a key determinant of our long-term success, this approach allow us to effectively and efficiently leverage our capital, infrastructure and client relationships, resulting in sticky meaningful relationships with our midsize clients and the potential for attractive long-term returns for our shareholders. In the current environment, we are seeing numerous acquisition opportunities, especially among midsize, monoline firms that cannot achieve the synergies on capital and infrastructure costs that we can with our multi-capability, multi-product approach. We continue to adopt a cautious approach and will only proceed with acquisitions that fit our client-first culture, at client relationships and/or capabilities that are priced appropriately. With that, I would like to turn it back over to the operator to open the question-and-answer session. Operator?
Operator: Thank you, sir. [Operator Instructions] And it looks like our first question will come from the line of Jeremy Hellman of Singular Research. Please go ahead. Your line is now open.
Jeremy Hellman: Hi, good morning, gentlemen.
William Dunaway: Good morning Jeremy.
Scott Branch: Good morning.
Jeremy Hellman: Hi, congrats on the results. Looks like you guys are going to be in a good spot as interest rates start to pick up, but just kind of looking at the other side of the equation kind of curious as to what you see as your biggest challenge over the next call it 6 months to 12 months. In terms of things you can control of course interest rates - like are out of your control, but within the business itself?
William Dunaway: Yes. I mean with that last [caveat] in place before that I probably would have answered market volatility, the two key drivers of our business are market volatility and interest rates, we can't control either of those. The things that we can control are the quality of the service that we provide to our customers. And the extent that we make are products and the services aware to customers and acquire new customers going forward. That is always a continuing challenge for us at something that we put a lot of emphasis on. And in the current environment with a slow industry consolidation going on, we probably find ourselves in a reasonably good position in terms of our ability to acquire new customers. So frankly looking now to over-the-horizon in the next few quarters don't really see anything that presents an unusual challenge for us. This simple basic hard work and to some extent the luck of the draw in what we get in terms of the market volatility and interest rates.
Jeremy Hellman: Okay, thanks for that perspective. And then speaking additionally on things it could be over-the-horizon just kind of more of a thought question. Do you envision developing or acquiring anything that would kind of speak to something like Bitcoin or anything that would be of a similar evolution?
Scott Branch: Obviously, our payments business means that we focus a lot of attention on what's going on more broadly in the payments world. We follow developments in terms of virtual currencies and other technology solutions very closely. The nature of our business is probably slightly different than a lot of what you see is the buzz going on in the payments world. A lot of the discussion in the payments world is more on the retail end of the business, we are more wholesale than retail and really providing in enhanced and simplified retail customer experience. That ultimately results in the movement of funds from one place to another. And those retail platforms with their enhanced customer experience ultimately still have to move funds through some mechanism and we see that as an opportunity for us in many ways. One of the analogies which isn’t quite perfect is we look at ourselves in the payment space is a bit like FedEx or UPS is to Amazon. We are not directly dealing with underlying retail customers, but to the extent that those technology platforms make it easier, simpler and quicker for customers to transact. Someone still got a deal with the last mile and significant extent that's what’s we do and we actually see meaningful growing volumes for us in dealing with aggregators as well, Commercial banks and other types of entities. So from that side of what’s going on in the payments worlds, we think we're very well positioned to be the kind of behind the scenes provider of that last mile. In terms of something like Bitcoin or other kind of the technology frictionless payment mechanisms that’s something we watch closely as well. As of yet we haven't seen any that have really succeeded in providing a lower-cost service and actually they’re beginning to face the challenges of a - I wouldn’t say mature, but beginning to mature industry dealing with broad regulation and all sorts of things like that. So well the technology can be relatively frictionless there are still material costs that preventing fraud of dealing with regulation et cetera. And I think most of those technologies will not prove to be as transformative as is often expected.
Jeremy Hellman: Okay, I appreciate that perspective and do like that FedEx, Amazon for example that's pretty unlikely. Thanks guys and good luck.
William Dunaway: Thank you.
Operator: Thanks Mr. Hellman. [Operator Instructions]
William Dunaway: Okay. Well, it doesn’t appear that there are any further questions. Thank you all for listening and have a good day. That brings this call to a conclusion.